Operator:
Anders Runevad: So then I think we start. Good morning everyone and very welcome to this presentation of the first quarter 2014. The normal disclaimer and then moving on to the agenda. So I will start with the introduction, talk about the orders and a bit about the market; Marika then will talk about the financials and I'll come back for a short outlook and summary and then we'll have Q&A as usual. So let me start then. One main focus for us during the quarter has been to deliver on our key objectives that we have in our mid-term strategy plan. And if we look at the progress a bit, if we start with the markets and the customers, we see a solid order intake in Q1, actually almost double year on year, so compared with Q1 2013. On the service side, where the objective is to capture full potential of the service business, I'm really pleased that we have appointed a new head of the service unit during the quarter. He will start June 1st. So that's an important milestone. Also the launch of PowerPlus which is a toolbox that extends the annual energy production for installed wind parks. You can actually -- if you use all the tools in the toolbox you can extend the energy production up to 5%. And this is an important example of what we have talked about of the broadening the service portfolio going forward. On the product side and to reduce the levelized cost of energy, we now have the pre-commercial installation of the V110 two megawatt platform, an important product for us and well received by the market. This product actually increased energy production with approximately 13% compared to the previous model. So again a good example on how we are working to reduce the cost of energy. And the V164 eight megawatt prototype is on track and of course will change the cost of energy in the offshore segment. Last, but absolutely not least, around operational excellence and that is of course on how we improve our earning capability, we see that we have significant improvement year-on-year. Gross profit more than tripled, and of course we should remember that we had a difficult Q1 a year ago, but very encouraging on earnings side, generating an EBIT of €40 million, an improvement of close to €150 million. Also the net working capital maintained at a low level. We saw improvement in cash flow of €34 million year-on-year and of course we have changed the financial situation considerably with about €1 billion of free cash flow during the last 12 months. So a good progress in our key strategic focus areas in a fairly small quarter. Another event during the quarter has been that the Mitsubishi Heavy Industry Vestas Offshore Wind is now operational as planned from April 1st, 380 employees headquartered just very close to us here in Aarhus, and as previously expected, the financial impact will be in Q2 2014. And as I said, we're confident with the development of the V164. A joint venture with a clear objective to be a global leader in the offshore wind market. Talking about markets, we also now have results from three of the different analysts that looked at the market share for last year, and of course encouraging for us in Vestas that we are the clear number one in all three of these market surveys with a market share of around 13%. As we all know, that is actually despite that in 2013 there was a big drop in installation in the U.S. and of course U.S. is an important market for Vestas. And despite that fact, we were still able to claim the number one position. I think it's a good testament and also I realize [ph] I talked about that, it is important to have a global reach, and we benefit from that. Actually last year we had deliveries in 31 countries and we had order intake in 37 countries. So moving on then to orders and markets. We look at order intake, and as I said, order intake almost doubled year on year, and 25% or 292 megawatts of the orders in Q1 was from the U.S. If we look at average selling price on order intake, we had a small decline compared to last quarter, €0.88m. Then of course we should remember that the price per megawatt is impacted on the type of contracts we have and we had a large part of supply only contracts in the quarter as we had in Q4. And supply only contract is the most common contract in for example the U.S. market. So price per megawatt depends on a number of different factors. As I said, the scope, but of course also the turbine type -- we have one price per megawatt picture on the two megawatt, another on the three megawatt -- the scope and of course the uniqueness of the offering. Having said that, it is also compared to the market that we are in. Looking at the backlog then. Backlog increased with €300 million and now stands at €13.8 billion, equally split between turbines and services. So a solid book to bill. With that please, Marika, help us to go through the financials.
Marika Fredriksson: Thank you Anders. Thank you. So that leads us into the P&L where we have compared to last year improved on the revenue, but not least on the gross profit, we have actually tripled the level compared to last year. Having said that though, as Anders mentioned earlier, Q1 of last year was a poor quarter from a margin perspective because we had a couple of projects with a very low margin. We have improved compared to last year the fixed capacity cost, and obviously a consequence of the turnaround program that we have been through during the last couple of years. That leads us to a positive EBIT in the quarter and also improving the net profit. So we have basically improved on all the parameters in the P&L. And looking at the service, we have improved the service revenue year-over-year and we are still at a very satisfactory level when it comes to the earnings of the service business. Our renewal rate is 50% in the quarter due to a couple of projects in China falling due in the quarter where the renewal is very low compared to other countries. We also had one project in the U.S. that didn't renew, so that's where the impact comes from in this specific quarter. The balance sheet, equity -- we did an equity raise in February and obviously that also has a positive impact on the balance sheet. We have also managed to reduce our debt with close to €1.5 billion over the past 12 months and net working capital is also continuing on a positive path and improvement compared to last year. We also said at -- discussed the solvency ratio when we presented the full year numbers and we are now at 31% in the quarter. The focus on working capital, and also stated in the strategy as part of the operational excellence, continues. We have a program in place that was implemented in the midst of last year. That continues so you can see the positive change during the -- over the last 12 months. A lot of focus is on the megawatts under completion because that's where we tie up most of our money. So you can also see in Q1 that the focus remains, and also what we stated in Q4 is that even if we don't foresee any further positive development in the working capital, we are very consistent in the focus and what we have implemented up to this point will remain. Warranty provision continues at a low level, and in particular the lost production factor remains below 2%. So I would say a very consistent path that we have accomplished when it comes to our quality of the product. Cash flow, we have had great impact from the reduction in net working capital during last year and here you can clearly see the impact from the earnings as we have positive earnings in Q1 of this year. So I would say a very, very positive development and also as anticipated and as planned. The investments compared to last year are higher, and again, as expected and as planned, and the investments are in particular for molds that we also communicated in the latter part of last year that we will invest in, but also the V164. Capital structure. We are net debt negative so a great improvement, and as I alluded to in the earlier page, this is also driven by the equity raise that we did in February. Solvency ratio has also improved due to the equity raise to 31%, not only due to the equity raise but a main or a big contributor in the quarter. We communicated that ROIC is a parameter that we will focus on and we also said that we see a double-digit ROIC. And here you can clearly see the impact from the earnings quarter-over-quarter, and not the least year-over-year. So we are now at 14.5%, so a good development, but also again, as planned and as expected for us. So by that I'll leave the word to you, Anders.
Anders Runevad: So outlook remains for 2014 revenue of minimum €6 billion and EBIT margin before special items of minimum 5%, total investment approximately €250 million and a free cash flow of minimum €300 million. And the service business is expected to grow with stable margins. So to summarize, we will continue to stay focused on executing on our key objectives. We see steady progress in the first quarter of this year. We will also invite everyone who has an interest; you are most invited to our Capital Markets Day that we will have June 12 here in Aarhus where we will dig a bit deeper into the strategy and elaborate on the different areas of profitable growth for Vestas. So all of you, most welcome. And with that we end the presentation and open for questions.
Jacob Pedersen – Sydbank: Hi, Jacob Pedersen from Sydbank. I have a couple of questions. First of all, could you comment a bit on the competitive situation in the industry? How is pricing? We can see that your average prices are dropping a bit but how is pricing and how is competition in different markets? And also I'd like to hear if the margin on the orders that you take into your books at the moment -- is that better than the margins that you already have in your order book? That's my second question. And then my third question relating to the gross margin, would you consider this a normal quarter? Are there any extraordinary things impacting gross margin?
Anders Runevad: If I start then a bit about the market questions. As I said, the price per megawatt, there's a number of different factors that influence that. We see definitely competitive markets with a lot of suppliers and so that's -- and we expect that going forward. On the other hand, we don't see any change in behavior in Q1 of this year that we haven't seen before. So from that aspect, I would say it's fairly stable.
Marika Fredriksson: When it comes to the margins, I would also like to say that what Anders alluded to earlier in terms of the megawatt, price per megawatt, that doesn't necessarily correlate with the margins. So what you see in the quarter is the impact of both us having a rigorous process when we select the projects and how we select the projects, and also the cost-out programs that are in place obviously have a positive impact on the margins. Your second question is relating to this is if this is a normal quarter. It's hard to say because it's a small quarter, although a good improvement that we see in the quarter on the margin side.
Anders Runevad: Any other questions? So then Operator, any questions on the call?
Operator: (Operator Instructions). Our first question will come from Mr. Kristian Johansen from Danske Bank. You can now go ahead, sir.
Kristian Johansen – Danske Bank: My first question is regarding project margin and your fixed capacity cost. You mentioned they are both improved versus Q1 but could you please also comment whether these have improved versus Q4?
Marika Fredriksson: Well of course the cost-out program that is in place and also the fixed capacity cost reductions that we have done during the last few years, you didn't see the full year impact on some of the activities that was implemented in the latter part of last year. So we will of course see the full-year impact on those and that is also reflected now in Q1. But even if we have a turnaround program that is ended at the end of last year, the focus on further optimizing and getting increased efficiency in the Company continues, and that you can also see on Anders' -- one of Anders' strategic pillars which is the operational excellence.
Kristian Johansen – Danske Bank: So are the fixed capacity costs in Q1 lower than Q4 last year?
Marika Fredriksson: You see, will see and will see a continuous impact on because you have the full year impact on the -- in the quarter, and also continuous throughout this year on the activities implemented in the latter part of last year.
Kristian Johansen – Danske Bank: Okay. Then my second question is in terms of your variable cost programs which you mentioned last quarter as well. Can you just give us an update on this and do you expect your variable cost programs to have any impact to your 2014 earnings?
Marika Fredriksson: Well we have -- what we said is that we will continue to optimize. So we're looking into shared service solutions and we're also looking at site consolidation for the Company. That -- we have not communicated or indicated whether that will have an impact on this year or not but we are evaluating and looking into those options.
Operator: Next question will come from Lars Heindorff from ABG. You can now go ahead, sir.
Lars Heindorff – ABG: A couple of questions from me as well. Firstly regarding the pricing on the order intake, there's been quite a bit of unannounced orders this quarter. Could you give us an indication about the geographical split of those orders? You mentioned in your presentation that you have a larger share of supply only orders in the quarter which I understand is mainly related to the U.S. So it would be nice if we can get a better feeling for the split in the unannounced orders. Thanks.
Anders Runevad: Yes, as we said, 25% of the orders is for the total orders is from the U.S. So that's of course fairly significant. And on the rest, I would say it's a fairly normal split. That's what I can say. We have a process on how we announce orders and that is the process we will stick to. But apart from the U.S. of course that has a big impact, I would say that the spread of the other orders are fairly normal.
Lars Heindorff – ABG: Okay. Then secondly, you said that also in terms of your guidance that you expect a stable development in your service margin. Looking back, it has been fairly volatile, so when you say stable, is that from the margins that we've seen from the full year last year or is it a run rate that we have seen here in the first quarter? That's a bit unclear.
Marika Fredriksson: Yes. When we talk about stable margins, we compare to last year. And even if you see some fluctuations in between the quarters, and that is also what we have stated that you will see in the future, I would say on a comparable basis we see it is stable margins in the service business.
Lars Heindorff: Okay then, last question for me regarding the net working capital and your aim to reduce your megawatts under completion. You've spent a bit of time on that here on the presentation and how much further can you actually reduce your megawatts under completion and still uphold I would say a production capacity to meet the demands here, particularly in the light of the PTC extension?
Marika Fredriksson: If I start where we started from, we implemented a project of last year. That project remains but a lot of the activities or the majority of the activities that we implemented are truly process oriented. So it is embedded now in the operations. And of course, the challenge for us is in a growing market with a growing demand to maintain all the activities that was implemented as of last year. We see no changes in that. So we see that we have the processes under control. Having said that, of course we will not do anything to force this at a level where we will jeopardize the business. So it will always be in line with the business needs. But as you can see in the quarter, we have managed to maintain the levels that we saw last year.
Operator: Our next question is coming from Mr. Patrik Setterberg from Nordea. You can now go ahead, sir.
Patrik Setterberg – Nordea: A couple of questions from my side as well. My first question is regarding your renewal rate on the service business where in Q1 had 50% service renewals. It strikes me to be quite a low number compared to what we have seen historically. Are we seeing -- is this a one-time effect or are we seeing a structural decline in the service renewal rate?
Anders Runevad: I agree, it's a low renewal rate, and we don't think that this is a new trend. So we've seen considerably higher renewal rate before and we don't think that the low renewal rate that we see in Q1 is significant going forward. So we expect improvements there.
Patrik Setterberg – Nordea: Okay. Another question relating to service business. In connection with your AGM, your Chairman said that you will start to do -- or aim to win service contracts on turbines which is not provided by yourself. Could you please elaborate on what this strategy means for you?
Anders Runevad: We actually already today do service on non-Vestas turbines on a case by case basis and when the customer asks us to do so. So that's something that we are doing today and how we will address that going forward will be part of the service strategy that we are currently developing.
Patrik Setterberg – Nordea: But will it have any impact on the service renewal rate going forward? I assume this will not be captured in your service renewal rate?
Anders Runevad: Yes, that's correct. But there is nothing of that in the renewal rate for the Q1 so to speak.
Patrik Setterberg – Nordea: My last question is to you, Marika. Usually you provide an EBIT bridge for us. Could you please tell me what the volume and project margins impact is on the EBIT in the first quarter?
Marika Fredriksson: Well we have chosen not to give you an EBIT bridge, but obviously, as the revenue is increasing you see the margins are increasing; you see that the fixed capacity costs are lower. That is the main reason for the improved EBIT and also the reason for the improved net profit that you see in the Company. So volume will have an impact and project margins will have a big impact on the Company and we are improving on both those lines in the P&L.
Patrik Setterberg – Nordea: But you cannot say the split between in percentage-wise approximately?
Marika Fredriksson: No.
Operator: Our next question coming from Claus Almer from Carnegie Bank. You can now go ahead, sir.
Claus Almer – Carnegie Bank: I have also a couple of questions. The first goes to your full-year guidance. The EBIT improvement in Q1 is more than you implicitly is guiding for full year. So how should we read your minimum EBIT guidance which was reiterated. Yes, that will be my first question.
Marika Fredriksson: Well, as you say yourself, the guidance is a minimum guidance. And this is a first quarter and it is a small quarter and we have consequently decided that the minimum guidance is adequate for us.
Claus Almer – Carnegie Bank: So we should not see that EBIT could be declining year-over-year in the coming quarters?
Marika Fredriksson: We have also communicated earlier that you will see fluctuations quarter -- dependent on which quarter we are, but we are sticking to our minimum, and I highlight again a minimum guidance of 5%.
Claus Almer – Carnegie Bank: Okay. Then my second question goes to the R&D costs. We assume your JV with Mitsubishi will likely change what we will see in the P&L and also the cost of R&D. Can you provide some guidance to the levels to be expected in the coming quarters?
Marika Fredriksson: Well, we are not specifically commenting on the R&D ease-up that we will see from the R&D -- from the joint venture. But obviously, as we are not affected by those going forward, it will have a positive impact from that perspective that we will not have the V164 cost in our books. But, having said that, there are also potentially other opportunities in terms of development questions that we will see going forward.
Claus Almer – Carnegie Bank: Sure. Just to be sure, we cannot be sure that the R&D cost in P&L will be declining in the coming quarters or --
Marika Fredriksson: Yes, you cannot anticipate a reduction is what I am saying.
Operator: Next question is coming from Daniel Patterson from SEB. Please go ahead, sir.
Daniel Patterson – SEB: A couple of questions. First of all, do you think you're taking market share?
Anders Runevad: I think when it comes to Q1 I think it's very hard to say. As I said before, it's a small quarter. The external reports I've seen is between -- that the market is growing between 5% and 20% for the full year. How that has played out in the quarter it's very, very hard to say. So what I can say is that I'm happy with our orders intake in the quarter, as I said almost double year-over-year. And I'm happy with the position on the order situation in the important markets.
Daniel Patterson – SEB: Okay. Then another question regarding I guess it's project margins and gross margin, obviously very strong numbers here in the first quarter. And I noticed that you're actually delivering almost 500 megawatts in the U.S, Brazil and China collectively. And these are markets that I think a lot of people think of being low-price markets. So my question is really how are you able to get these, let's say, rather good project margins and good gross margins in some of these tough markets. Do you think you are the cost leader in the U.S. for example.
Marika Fredriksson: I would say first of all we have focused on the cost, absolutely. But also, having said that, I again want to underline that the scope of the project doesn't necessarily correlate with the margin. So even if we have a supply only in the U.S, it doesn't mean that we have a low margin. And again, we have a very, very rigorous process on how we select the projects for Vestas and that goes for all the countries we are present in. And the cost-out program is ticking so it continues also going forward.
Daniel Patterson – SEB: Okay. Then my final question relates to 2014 at large. What is the main operational risk that you are facing for the rest of the year.
Anders Runevad: Only, I think, normal, like almost any business I would say, I would say it's the normal operational risk. New products, new deliveries, I mean nothing extraordinary but the normal operational risk that you have in any company I would say.
Daniel Patterson – SEB: So there's no specific project hiccups that, running over cost or something later in the year that should hit you?
Anders Runevad: As I said, you always have a risk in running a business and you always have an operational risk and usually related to delivery, ramp up and to new product introduction. But we have not one specific, identified project or product or what you ask for, no.
Daniel Patterson – SEB: Of course, yes, because it's important to understanding the guidance, of course, given that you're already above your 5% on trailing 12-month. But thank you very much.
Operator: Next question will come from Mark Freshney from Credit Suisse. You can now go ahead.
Mark Freshney – Credit Suisse: Just two questions, firstly on the MHI joint venture that you have. Will there be a requirement to put more capital in there or to invest within that business as you bring forward the new offshore turbine? And just secondly on the outlook for the offshore market, given your discussion with governments and regulators, what are your expectations for the size of this market in Europe?
Anders Runevad: Yes. If I start with the first, then of course when we -- as we, I think, had talked about before, the main scenario is of course that it's -- we have funding in place with this transaction for bringing the V164 to market and the first commercial project. So that is the base assumption and that's the assumption we are working with and that the joint venture is working on. Then of course it will all depends on how the market develops. And, of course, that's a bit hard to predict, so the main assumption is that we don't need any additional funding to bring the V164 to market. But, as I said, that is based on a certain market scenario. If I talk a little bit about the market overall as I see it, and I try to do that in relative terms, I would say that what I see now is a smaller market in offshore than we probably saw a year ago, but, on the other hand, a much more realistic scenario. So I think that there were very high expectations a year, a year and a half ago, talk in the market of the gigawatts and so on and we see that expectation coming down. But still then a considerable, very interesting market and probably also a much more realistic market from a capability point of view, both for projects to happen and for supply to happen into that market. On the regulatory framework we see, for the offshore side then, we see. I would say more clarity from Germany, UK for example on their offshore plans and on their support mechanism. So I think that is positive and ties well into what I said of a market that we now start to see on a realistic level and more certainty around the policy schemes around it.
Operator: Our next question is coming from Alok Katre from Societe Generale. You can now go ahead.
Alok Katre – Societe Generale: Two quick questions if I may. Firstly, if you could just elaborate a bit more on your emerging market strategy in the context of the few statements that have been coming from the management on China. So that's the first part of the question. And then obviously we don't seem to hear a lot on Brazil or India, which are growing markets as well. So what has changed or what will change at Vestas to make it more successful in those regions? That was question number one. And then if you could talk a little bit more on the V164 in terms of what's happening on the program, customer response. And then finally did you bid for the French offshore tenders that GDF Suez and Areva have just won. Thank you.
Anders Runevad: Okay. So if I start with going back to the overall strategy. So what we said is that profitable growth in emerging and mature markets, and of course mature markets' definition is a very important category for Vestas and will remain an important category for Vestas and will also remain an area where we can grow. So we shouldn't forget that when we talk about a lot of emerging markets. So the mature markets, very important for the Company. We actually see a potential improvement to grow also there even if we have a good market share. When it comes to emerging markets, and you specifically mentioned China, I think of course there are all big differences, China, India, Brazil. It's definitely our strategy over the midterm, so on a three to five-year horizon, to improve our position in those emerging markets. In order to do that we have two important enablers in the strategic plan and that is about operational excellence, so that is about getting the costs right to address those markets and get the offering right to address those markets. And that is very -- ties very well into the program that we already have running when it comes to lowering the cost of the synergy [ph] for our product and when it comes to continue to work with operational excellence. We also have a global footprint when it comes to manufacturing. So we have a footprint in manufacturing capabilities in, for example, China. We have a small share today, but we have a big share from a non-Chinese point of view in that market. So we have the capability to grow, but that is a long-term plan and we need to get those different capability in place. We've done a number of things, of course, already to start. We have, for example, done a new set up for Asia Pacific, appointed a new manager and, of course we have the programs on the product side running, as I said. When it comes to Brazil, it's our intention to participate in the upcoming auction. So we are focused on that. I think the last question was around the 164. And, as I said, the development is on track. We have produced eight megawatt. I talked to a lot of customers. There is a high interest for the Mitsubishi Vestas joint venture to get into the offshore market in a big way, of course, with the new turbine. And so I'm confident of the long-term plan for the joint venture. And I will not comment on specific dates.
Operator: (Operator Instructions). Our next question is coming from Klaus Kehl from Nykredit Markets. Please go ahead, sir.
Klaus Kehl – Nykredit Markets: Two questions please. The first one relates to pricing again. We're seeing, yes, low prices on the order intake here in the quarter and that's, as you mentioned, most likely driven by the U.S. But you also have a much lower production cost in the U.S. So could you confirm that it's still the case that your contribution margin will be unaffected by the low prices we're seeing in the U.S? That's my first question.
Marika Fredriksson: What we have -- what we just said is that despite it being a supply-only doesn't mean that it has a negative impact on the contribution margin. So that is correct.
Klaus Kehl – Nykredit Markets: Okay. And then my second question, that's more or less the same, but the gross margin we're seeing here in Q1, does that give a reasonable picture of the gross margin you have in the back log?
Marika Fredriksson: Well, first of all, we said this is again a small quarter. And even if it is a good improvement compared to last year, last year was not very representative as there was a couple of low-margin projects in that particular quarter. So I will not comment on whether it's representative or not, but this is at a good level. And also you will see the cost-out program continues for this year. That hasn't --
Klaus Kehl – Nykredit Markets: But that implies that it should increase further in the coming quarters?
Marika Fredriksson: I'm not stating that. I'm just stating that the cost-out program continues.
Operator: Next question is coming from Sean Mcloughlin from HSBC. Please go ahead, sir.
Sean Mcloughlin – HSBC: I have three hopefully brief questions. Firstly the unannounced orders, if I look at the last two quarters, were averaging about 600 megawatts. That's certainly higher than the 400 megawatt average over the previous six quarters before that. Is this -- can we read a trend into this? Are you targeting more smaller orders or can we read this in general terms of an overall order pick up or you may be gaining share in small orders. That's the first question.
Marika Fredriksson: I'm not sure that I follow your question, but if I understand you correctly, it's not a trend and it's not a focus. And again if you look at this particular quarter, it is a small quarter for Vestas. We are focusing on, as we have done in the past, the mature markets but also the emerging markets. So where we are competitive, whether the project is small or big, we will of course be there. But there's no strategy into the random result in the quarter.
Sean Mcloughlin – HSBC: Secondly on the JV with MHI. Have discussions widened, I wonder, to talk about maybe a wider market access in Asia particularly with a view on on-shore markets?
Anders Runevad: No. The offshore joint venture is clearly focused on the offshore business. So that's the focus in those discussions and in our discussions with Mitsubishi. So that's full focus on getting to market with the V164, service the market with the offshore contracts we have with the V112 and, yes, that's it.
Sean Mcloughlin – HSBC: And then thirdly, just looking at your strong net cash position, how has your view on acquisitive growth options changed?
Anders Runevad: No, it hasn't changed. So of course we're going into other markets, see what is happening, but we have no plans in that respect.
Operator: Next question will come from Mr. Robert Clover from Recharge Insight. Please go ahead, sir.
Robert Clover – Recharge Insight: Two questions from me also please. First is on the order pipeline. You mentioned at the time of the capital increase, or at least there was an inference that you had perhaps not won all the orders you had hoped for because of a slightly weaker balance sheet than you clearly have now, which -- we're clearly seeing a very strong balance sheet position. Can you make any comments perhaps on how order negotiations are progressing now that your balance sheet position has improved considerably? Has that made the difference you hoped it would?
Anders Runevad: I think it's definitely fair to say that in the discussions we have with the customer they recognize that we have a completely different financial strength than we had before. So that is definitely recognized in the many discussions we have with our customers. Then of course it's very hard to put an exact numbers on that. But I would say a positive change for sure.
Robert Clover – Recharge Insight: And the inference of that would be that you would continue to gain market share then, perhaps, going forward?
Anders Runevad: Of course, our objective long term in our plan is to gain market share and grow faster than the market, but -- so long term that's definitely our objective. Short term we remain on the guidance we've done for 2014.
Robert Clover – Recharge Insight: And the second question I had was coming back to what Sean just mentioned in terms of M&A. particularly in the light of your comments on the attractiveness of the service business and looking for opportunities to service non-Vestas turbines, are there any smaller, bolt-on acquisitions that you could envisage in that area in particular?
Anders Runevad: No, we don't have any of those plans, but as I said, of course there is a lot of rumors in the market of different types of consolidation. And of course we monitor the market, but we have no acquisition plans.
Operator: Next will come from Fasial Ahmad from Handelsbanken. Please go ahead, sir.
Fasial Ahmad – Handelsbanken: A few questions from my side. Firstly two on the service business, could you tell us how many megawatts under service you have in China. And secondly also maybe tell us how many megawatts were under renewal in Q1 and how that normally compares to the full year. And that's the first question on the service side.
Anders Runevad: Yes. That I don't know. So that we have to come back to you, if we give out the megawatt in specific geography. So unfortunately I don't know that fact. So that we have to come back to you.
Fasial Ahmad – Handelsbanken: And how much was up for renewal in Q1, can you inform us that, and how much is up for renewal normally in a full year?
Anders Runevad: No, we don't comment on that so I can't inform you about that. What was in Q1, as I can say, is that there was a bigger part of what was up for renewal was in China. And in China the renewal rate is very low so normally contracts are to a much less degree renewed after two years, after their normal two years. And that percentage was bigger in Q1.
Fasial Ahmad – Handelsbanken: Okay. I will just move on to my next issue here and that's concerning ramping up. Can you tell us how much headcount you have taken on in the U.S. during Q1? And secondly you're also ramping up on a number of new blade technologies. And could you just inform us how that is progressing?
Marika Fredriksson: Well, when it comes to headcount we communicated, I would say early -- or in the latter part of last year that we will increase the number of headcount but that will in particular be blue collar and in particular in the U.S. We have increased in the U.S. according to plan to meet the demand and we have also increased in other geographies such as Europe. So where demand is increasing, we will continue to increase and it is a positive for Vestas. But it will also fluctuate a little bit up and down. But it's in particular blue collar so no margin impact headcount that you see us recruiting going forward.
Fasial Ahmad – Handelsbanken: Okay. And the ramp up on blade technologies, the V110 and V126, how is that progressing?
Anders Runevad: That is progressing according to our plan.
Fasial Ahmad – Handelsbanken: All right. When do you expect that to be finalized?
Anders Runevad: No, we expect that we will keep our plan and keep the customer commitments that we have on the V110 and fulfill the orders that we have on those two products.
Fasial Ahmad – Handelsbanken: Okay. And then just one final question from my side and that's on the variable cost program. How should we be thinking about this program? Will it be impacting mostly in ‘14 or is it more of a ‘15, ‘16 issue, maybe if you can comment on that.
Marika Fredriksson: Well we haven't stated any program. We have stated that we will continue to further optimize the Company, which means looking at the cost structure, if that is adequate for the Company. We have no programs in place. We are, as I said earlier or alluded to earlier, evaluating shared-service solutions, outsourcing and site simplification. And that is what we have communicated. You will see an impact from the previous turnaround program. The cost-out that took place in the latter part of last year will, of course, you will see the full-year impact on this year. But the further optimizing the cost structure continues, but we will not present any programs or any big bangs around that.
Anders Runevad: Okay. Thank you all for all your questions. So we end here and I hope to see you at the Capital Markets Day then, if not earlier, in June 12. So thank you very much for your interest.
Marika Fredriksson: Thank you.